Operator: Good afternoon. My name is Chelsea, and I will be your conference operator today. At this time, I would like to welcome everyone to the KLA Corporation September Quarter 2023 Earnings Conference Call and Webcast. [Operator Instructions]
 I will now turn the call over to Kevin Kessel, Vice President of Investor Relations and Market Analytics. Please go ahead. 
Kevin Kessel: Thank you for joining us for our earnings call to discuss the results of the September 2023 quarter and our December quarter outlook. I'm joined by our CEO, Rick Wallace, and our CFO, Bren Higgins, to discuss our results released today after the market close, which are available on our IR website, along with the supplemental materials.
 Today's discussion is presented on a non-GAAP financial basis unless otherwise specified, our full year references all related to calendar years. A detailed reconciliation of GAAP to non-GAAP results is in the earnings materials posted on our website. Our IR website also contains future investor events as well as presentations, corporate governance information and links to our SEC filings, including our most recent annual report and quarterly reports on Forms 10-K and 10-Q.
 Our comments today are subject to risks and uncertainties reflected in the risk factor disclosures in our SEC filings. Any forward-looking statements, including those we make on the call today, are also subject to those risks, and KLA cannot guarantee those forward-looking statements will come true. Our actual results may differ significantly from those projected in our forward-looking statements.
 Rick will begin the call with some comments and quarterly highlights. Bren will conclude with our financial highlights, including our guidance and outlook. I will now turn the call over to our CEO, Rick Wallace. Rick. 
Richard Wallace: Thanks, Kevin. Before we cover KLA's September quarter and outlook, I'd like to address the situation in Israel as it pertains to KLA. We have many KLA employees based in Israel. We're deeply saddened by the unspeakable acts of terrorism in the Middle East and the resulting war underway. Our heartfelt condolences are with all the victims and their families, friends and loved ones. At KLA, we're focused on employee safety and well-being and are making efforts to assist our teams through these terrible circumstances, including resources and support for our employees and broader humanitarian support through the KLA Foundation. We all hope for a peaceful solution soon.
 Moving on to our September quarter results, which exceeded expectations. Specifically, revenue of $2.4 billion finished at the upper end of the guidance range. GAAP EPS was $5.41 and non-GAAP EPS was $5.74. Both also finishing at the upper end of the respective guidance ranges. These results were driven by the strength and relevance of KLA's process control portfolio. Additionally, focused execution enabled continued free cash flow generation and capital returns. We are proud of how the KLA teams continue to outperform in the marketplace and deliver on customer commitments.
 The overall business environment remains relatively stable for KLA. We continue to see strength in markets served by legacy nodes, despite softness in Memory and learning edge, Logic & Foundry investments. As the industry continues to navigate the slowdown in the electronics market, we are closely monitoring any adjusting results that affect our customers' capacity.
 KLA continues to outperform the industry on a relative basis because customer investment in R&D for technology advancement and transition has proven to be more resilient to market pressures. If we look at some specific highlights in the quarter, revenue was driven by strength in legacy node investment globally and industry infrastructure investment. KLA's market leadership, product success and unpatterned wafer, optical and macro inspection also demonstrate the power of the KLA portfolio.
 Rapid growth of AI, both enables KLA's differentiation and helps drive industry growth. KLA is a pioneer in adopting AI to improve the performance of our systems and create differentiation. And KLA has a long track record of employing deep learning and physics-based algorithms in our core technologies. As the cost of compute has declined, we are now able to deploy this capability more broadly across our product portfolio, leveraging our AI expertise, KLA's inspection, metrology and data analytics systems help customers solve challenges associated with current process technologies and critical industry inflections, including gate all around, 3D memory, EUV Lithography, and advanced packaging.
 KLA Service business grew both sequentially and year-over-year, ending at $560 million in the September quarter and remains on track for high single-digit percent year-over-year growth in 2023. Finally, the September quarter was another excellent period from the cash flow and capital returns perspective, quarterly free cash flow was $816 million, which drove the last 12 months free cash flow up 3% year-over-year to $3.2 billion. Total capital returns over the past 12 months were $2.4 billion.
 In summary, KLA's September quarter results demonstrate our continued process control leadership and the success of our portfolio strategy. Our consistent execution despite challenges in the marketplace highlights the resiliency of the KLA operating model, driven by the dedication of our global teams.
 I'll now hand it over to Bren to cover more details on our financial performance and our outlook. Bren? 
Bren Higgins: Thank you, Rick. KLA delivered a strong September quarter, demonstrating consistent execution despite a challenging work marketplace. Revenue was $2.4 billion, non-GAAP diluted EPS was $5.74 and GAAP diluted EPS was $5.41, with all 3 coming in at the upper end of the guided ranges.
 Non-GAAP gross margin was 62.4%, 40 basis points above the guidance range due to benefits from a richer product mix and better service cost performance than model. Non-GAAP operating expenses were $534 million, in line with guidance. Total non-GAAP operating expenses comprised $311 million of R&D and $223 million in SG&A. Non-GAAP operating margin was 40.2%, non-GAAP other income and expense debt was $47 million, and the quarterly effective tax rate was 14%. At the guided tax rate of 13.5%, non-GAAP EPS would have been $0.03 higher or $5.77.
 Quarterly non-GAAP net income was $786 million. GAAP net income was $741 million. Cash flow from operations was $884 million, and free cash flow was $816 million. As a result, free cash flow conversion was a strong 104% and free cash flow margin was 34%. The company had approximately 137 million diluted weighted average shares outstanding at the end of the quarter.
 The breakdown of revenue by reportable segments and end markets and major products and regions can be found within the shareholder letter and slides.
 Turning to the balance sheet. KLA ended the quarter with $3.35 billion in total cash, cash equivalents and marketable securities, debt principal outstanding of $5.95 billion and a flexible and attractive bond maturity profile supported by strong investment-grade ratings from all three agencies. KLA has an impressive history of consistent free cash flow generation, high free cash flow conversion and strong free cash flow margins across all phases of the business cycle and economic conditions. Over the last 12 months, KLA has returned $2.4 billion to shareholders, including $1.7 billion in share repurchases and $726 million in dividends paid.
 I also wanted to highlight that on September 5, KLA announced an increase in the quarterly dividend level to $1.45 per share from $1.30, the 14th consecutive annual dividend increase. Since its inception in 2006, KLA has grown the quarterly dividend level at an approximately 15% compound annual growth rate. Additionally, on that date, KLA announced an incremental $2 billion share repurchase authorization. These capital return actions reflect confidence in our business model and growth strategy as we progress along the path to our 2026 financial targets.
 Moving to our outlook. As we review the market and assess relative performance of our peers across the industry, we are adjusting our Wafer Fab Equipment outlook for 2023 up to approximately $80 billion, reflecting a decline of approximately 16% from the $95 billion level in calendar 2022. While the timing of a meaningful resumption in WFE investment growth remains unclear as most underlying end markets remain soft, we continue to see KLA's overall demand stabilizing around current business levels, and we expect this demand profile to continue into the first half of calendar 2021.
 KLA's primary value proposition is focused on enabling innovation through technology advancements and transitions, which our customers continue to prioritize across all business environments. While capacity plans are often adjusted due to changing demand expectations, technology roadmap investments are more resilient. This adds additional confidence to our business expectations as customers align shipment slots with roadmap requirements. In this environment, we will continue to focus on meeting customer requirements, maintaining our high level of investment in R&D to advance our product roadmaps and KLA's market leadership, and delivering strong relative revenue growth and financial performance.
 As for guidance, our December quarter guidance is as follows: total revenue is expected to be $2.45 billion, plus or minus $125 million, Foundry/Logic is forecasted to be approximately 68%, and memory is expected to be around 32% of Semiconductor Process Control systems revenue to semiconductor customers. Within memory, DRAM is expected to be about 85% of the segment mix and NAND 15%.
 We forecast non-GAAP gross margin to be 61.5% plus or minus one percentage point, as product mix expectations are modestly weaker versus the September quarter and service period cost benefit realized in the September quarter normalizes. Inclusive of this guidance, calendar 2023 gross margins are expected to end up in the mid 61% range.
 Non-GAAP operating expenses are expected to be approximately $540 million. Other model assumptions for the December quarter include non-GAAP other income and expense, net, of approximately $45 million and an effective tax rate of approximately 13.5%. 
 Finally, GAAP diluted EPS was expected to be $5.54, plus or minus $0.60 and non-GAAP diluted EPS of $5.86 plus or minus $0.60. EPS guidance is based on a fully diluted share count of approximately 136 million shares.
 In conclusion, we remain focused on driving differentiation through innovation as we execute our successful portfolio strategy that supports our customers' technology roadmaps. Though the industry is correcting in calendar 2023 and sustainable demand recovery still remains unclear, we are sizing our business to ensure that we deliver a differentiated product portfolio that meets our customer technology roadmap requirements and that we have the capacity to execute our business in line with our long-term growth expectations.
 With the KLA operating model guiding our best-in-class execution, we continue to implement our strategic objectives, which are here to drive outperformance. Our focus on customer success, delivering innovative and differentiated solutions and operational excellence is what enables us to deliver industry-leading financial and free cash flow performance and return capital on a consistent basis.
 We are confident that Process Control's importance to enabling technology advancements bodes well for KLA's long-term growth outlook despite challenging near-term demand trends. KLA is well positioned to deliver strong near-term relative financial performance driven by the better-than-market performance of our Semiconductor Process Control and Specialty Semiconductor businesses and continued growth in service. KLA is also uniquely exposed to wafer and reticle infrastructure investments that are contributing to our relative outperformance in calendar 2023. Our business continues to stabilize and the long-term secular trends driving semiconductor industry demand and investments in WFE remain intact and are compelling. That concludes our prepared remarks.
 Kevin, let's begin the Q&A. 
Kevin Kessel: Thanks, Bren. Chelsea, if you could please provide the instructions to queue for Q&A, and we'll begin now. 
Operator: [Operator Instructions] Our first question will come from Vivek Arya with Bank of America Securities. 
Vivek Arya: I wanted to revisit your suggestion that first half could be stable at this -- the December quarter levels. So does it mean you're not expecting any change to your China shipment? Or if you could just kind of give us how you are thinking about the mix in different end markets and geos. And then kind of part b of that is, what assumptions are you making about the timing of memory recovery? Is that still kind of second half awaited and can it be incremental to this kind of conceptual first half outlook? 
Bren Higgins: Vivek, it's Bren. So we are -- I'm not going to guide the first half of the year in terms of what regions or customers might be driving. As we look at the overall sales funnel and look how we're sizing the factories, our stabilization comment is at the total company level, we see the business roughly operating at about the guided levels here over the next few quarters. So we'll see how it plays out. Obviously, it's a fluid and dynamic environment.
 I think we'll see the semi PC business be very consistent with that. We'll see the parts of EPC tend to be a little more capacity and shorter lead time type businesses. So we'll have to see how that plays through. But as we aggregate and just as we look out, trying to give you as much as we can into the first half, we see the business bouncing along at roughly these levels. 
Vivek Arya: And anything on the potential recovery in memory, like if, let's say, memory were to be recovering in Q1, Q2, Q3, is that visibility you would necessarily have? Or if I ask it in a different way, what is kind of the difference between when you start to see it and when it actually starts to show up in your sales numbers? 
Richard Wallace: Vivek, Rick here. When we talk to customers and we have had several conversations with memory customers recently, they've all kind of echoed the same thing in terms of historical lows right now in the market and utilization continue to be less than what they're hoping for, although stabilized. So we don't have any indication of any near-term change in that. And they will certainly let us know because we do have long lead items. So there are some products we're still shipping based on the fact that they're for R&D work. But in terms of capacity increases, we have no indication of any near-term changes. 
Operator: Our next question will come from Harlan Sur with JPMorgan. 
Harlan Sur: On your Services business, close to 25% of your sales, you'll be driving high single-digit percentage growth this year, and that's with your customer production activity at an all-time low. But in your shareholder letter, you guys say that you expect growth in Services to accelerate to your target range of 12% to 14% next year. I know you've got to waive off tools and systems coming off of warranty and on to contract. This would be a big driver. But what else are you guys assuming on the strong growth outlook for next year? And what are your assumptions for industry manufacturing utilization? 
Bren Higgins: Yes, Harlan. So there have been drivers or long-term drivers around service growth that are implicit in our modeling and are continuing, right, in terms of the level of utilization of the installed base customers using tools for longer periods of time and so on. But, you did hit on the biggest driver in terms of our expectations for growth into next year, is that we will have a number of tools that we shipped in 2021 and 2022, where we significantly outperformed the market. Those tools will be coming off of warranty and moving into contract and our attach rate is pretty high.
 So it does give us some visibility into that service stream. As you know, our contract percent of the total revenue of service is over 75%. And so that visibility allows us to not only be able to plan for, but also to optimize the cost structure that's underneath it in terms of how we deliver to our customers. 
Richard Wallace: Yes. One other thing, Harlan, is that, as you know, our services isn't dependent on consumables. And so customers want to keep these tools up and going even when they have slower utilization in other parts of the fab, but then they definitely want to ramp them as they're bringing on new nodes and starting to ramp new technology. So it's kind of the best of all worlds in the sense we don't slow down that much when it goes down, but then they're going to want to ramp as activity continues, whether it's on new technology or beginning capacity ramps on new technology nodes. 
Bren Higgins: I think the final thing I'll say about it is Rick talked about memory utilization. If you look in foundry utilizations today, we are seeing some improving utilization to the leading edge and the legacy utilizations have -- depending on where you're at and kind of the N-1 is a little bit softer, more mature nodes, it's a little firmer. So utilization rates are stabilizing and increasing in certain parts of our business. And so that's an indicator for us as we look forward into 2024 in terms of additional growth for our service business. 
Harlan Sur: Great. That's hugely insightful. Given the strong lineup and aggressive cadence of tech transitions, right, especially in foundry and logic and that's obviously driving more EUV layer adoption, right, which is driving demand for both your optical inspectors, reticle inspection, your entire portfolio of metrology products as well. If we look into next year with more tech inflections, gate all around, introduction of backside power distribution, next-gen advanced packaging architecture, is that wave of new tools, systems adoptions to support these transitions. Is that still in front of the KLA team? Or are you actually starting to see quite a bit of that now? 
Richard Wallace: Well, so it's good insight, Harlan. I think there's 2 ways to think about it. One is we're definitely seeing R&D development around that, and we have for some time, but many customers have stalled their expansion and delayed. And as you know, there's been quite a lull in especially the leading-edge companies out there in terms of really much CapEx at all as it goes towards new technology expansion, but that's coming. And when that comes, we can map out layer accounts. We know we have a pretty good sense of deployment once it goes on the run card for these ramping up new nodes. And it's both on films. It covers both metrology but also it covers inspection. And so I'd say it's in front of us as we get into calendar '24 and [ beyond ]. 
Operator: Our next question will come from Joseph Quatrochi with Wells Fargo. 
Joseph Quatrochi: First is for Bren, I know it will come out in the queue, but can you help us with the RPO where that was exiting the quarter? 
Bren Higgins: It came down a little over $500 million quarter-to-quarter. So you'll get the specifics in the 10-Q, which we'll be filing here in the next few days, but somewhere just north of $500 million. So still pretty high levels, north of $10 billion overall, but did come down a little bit quarter-to-quarter. 
Joseph Quatrochi: Okay. That's helpful. And then just in that kind of context, how do we think about the optical inspection lead times? I think you mentioned that the demand remains stronger than supply, your ability to supply, but how do we think about that looking into this first half of '24? Do we expect that you'll start to see maybe some of that alleviate in the first part of next year as we get into more demand into the second half? 
Bren Higgins: Because we've got some new supply coming on related to some extremely long lead time parts, I would expect that we'll ship more in '24 than we have in '23. And so we still have a fair amount of imbalance here between where our customer demand is and our ability to supply. But there is some catch-up that's happening there. But those lead times are still pretty long. The rest of the company somewhere around various across different products, more capacity-centric products. Lead times are very normal today and around some of the unique products that are critical in terms of industry requirements, those are still a little bit longer. 
Operator: Our next question will come from Chris Caso with Wolfe Research. 
Christopher Caso: I wonder if you can speak a bit about the China business right now. A little more color on the strength that you're seeing and you obviously heard this from your peers as well. And I think the investor questions right now are about the sustainability of the China revenue at these areas. I wonder if you could address that. 
Richard Wallace: Yes, absolutely. So a couple of thoughts for KLA in particular relative to China. Because of the actions that were taken, most of the investment, nearly all of the investment that all of that we're exposed to is on legacy nodes. And there's both mostly that's to support the industries that are in China where they want self-sufficiency such as EV, and you have a lot of projects going on that require basically greenfield. So you have a fair amount of inspection measurement across the board.
 But beyond that, there's infrastructure investment also going on in China relative to the legacy nodes, both [indiscernible] and also wafer manufacturing. Those projects, I think, are going to continue for some period of time. So what we don't see is any -- I think the leading edge stuff has already been taken out and they stopped that and of course, for a lot of reasons. But the legacy continues and it's pretty broad-based. And we don't believe that's going to change in terms of the size or intent of those, and those are things that are projects that are in various stages as they continue to build. So we feel pretty good about the sustainability of the business as we see it right now in China. And Bren can give more specifics. 
Bren Higgins: In the near term, in the September quarter, we saw the level as more elevated than what I'd call a run rate as we had other customers that were moving around in terms of deliveries. And so we were able to -- so we backfilled that with some of this demand in China. So it did push up a little bit. I would expect it would drop somewhat in Q4, but certainly remain at elevated levels. And it's certainly something that has strengthened over the course of the year, consistent with Rick's commentary.
 So as we look at next year, we've got meaningful backlog with these customers, I've got a -- in excess of $800 million in deposits for shipments for these customers. So I would expect that we'll see some sustainability of that demand as we move into next year. And I think it's really across the segments that Rick talked about. So as I think about growth into next year in that part of the business, I think from a baseline point of view, we see it's more or less flat.
 You have greenfield projects as you have construction dynamics that are influencing some timing issues. But in general, I would expect it to continue more or less at that level over a broader period of time. A lot of these orders we booked over the last couple of years and frankly, in the expansion period of '21 and '22, are more strategic and larger customers consume the bulk of our slots. So as we've seen some slowdown over the course of 2023, that's created a lot of availability for these shipments and these customers are performing in line with the commitments that they make. 
Christopher Caso: Just as a follow-on to some of the other things you said with -- as you're starting to fill some of those orders for, say, some of those Chinese customers that were -- you weren't able to fulfill because of some of the shortages before, what effect has that had on the backlog? And is your backlog visibility going out in time about the same as it was last quarter, a quarter before? Or is that backlog visibility is starting to shrink as you catch up on some of those orders that you weren't able to fulfill before? 
Bren Higgins: I would say with new business coming into backlog, that it's not changing all that much. 
Christopher Caso: Right. So about the same. 
Bren Higgins: I'd say, it's about the same. Visibility is pretty consistent. Like I said, construction issues would be probably the bigger factor of whether projects would push or not. In a lot of cases, these are our new customers that are getting established. And so aren't necessarily exposed to some of the economic sort of supply-demand drivers that would affect more established customers. Now there are those kinds of customers also, and we're seeing normal behavior from them in terms of how they're balancing their capacity given their customer [ demand ]. 
Operator: Our next question will come from Atif Malik with Citi. 
Atif Malik: Bren, in the past, you have talked about the China domestic spending as 1/3 memory makers, 1/3 kind of mature foundries and 1/3 as a new entrant into the market? And my question is like you're talking about China to drop somewhat in Q4, which segment of the China market you're seeing the drop off in Q4? 
Bren Higgins: Yes. I'm not -- I don't have that detail here. There's another piece of that that's also related to the infrastructure investment that Rick talked about, the wafer infrastructure and reticle infrastructure. So there's also a component of investment that's happening there. I don't -- I'm not -- we guide at the company level customer-specific activity, I'm not going to get into that. 
Atif Malik: Got it. And then, Rick, I have a question on gate all around. Historically, you guys have benefited when the transistor move to FinFET architecture. And as we start to see initial orders on gate all around for some of the deposition companies, can you talk about what that gate all around opportunity means for both inspection and metrology for KLA? 
Richard Wallace: Yes, great question. It means a couple of things. One, obviously, gate all around has been in development for a while. So we had start in terms of some of the architectures that we need to modify to support it. Specifically, we're leveraging Gen 4 technology instead of Gen 5 because of the nature of the contrast, ability of Gen 4 to see the defects that are relevant to gate all around architecture. We've made those investments and seen those results, and that's been one where we've leveraged existing technology but also leverage the work we talked about with AI, to provide capability. So we're well prepared for that when it comes to the inspection challenges associated.
 Metrology, big opportunities there because you're looking both for increased level of precision when it comes to the actual measurement, larger sample size because of the concerns about consistency across the wafers and across wafer and wafers, and also some of the specifics around the High-K Metal Gate control that people are looking for.
 So more capability. Again, we had a head start because as you know, that technology has been in development. So we've worked with development partners on that, feel well positioned to be able to support that as it expands. So it's going to help both process control intensity when it comes to both inspection and with metrology, and we're well positioned to support our customers to do that. 
Operator: Our next question will come from Sidney Ho with Deutsche Bank. 
Sidney Ho: I want to ask about the DRAM strength that you guys are seeing. It seems like that was the main source of revenue upside in the quarter, and it looks to be -- based on your comments, down slightly in the next quarter in [ calendar ] Q4, how much of that strength is coming from shipping to the DRAM customers in China that you alluded to in the past? And how much of that is tied to advanced DRAM technology, high bandwidth memory and whatnot. And when you look at Q4, which part of that segment is going to come down? 
Bren Higgins: Yes. So when I look at the details, certainly, the shipments into China, which were expected were a driver from the baseline. As I look at the December quarter, in DRAM, I think you'll see a little bit of a mix across customers, but I don't think the number really -- the absolute number doesn't really come down all that much. So most of the investment is in that area or it's in the area that you alluded to, right, in terms of supporting some of the AI demand that's out there. But -- and then you get just general R&D investment that's happening. So it's a pretty low level overall and the bulk of it coming from some catch-up related to the China customer that we referred to. 
Richard Wallace: One other area, we are seeing some when it comes to the interposer in terms of packaging-related [ HDM ]. So that is also a driver -- smaller at this point, but the growth projections are good. Remember, as DRAM is going to leverage EUV as the investment resumes, that's going to be a great opportunity for us to continue to penetrate when it comes to the R&D, but that's not what's driving it right now. 
Sidney Ho: Okay. Great. And maybe a follow-up for me. If you look at the SPC systems revenue, it looks like it's going to be down 5% to 7% in calendar '23. I think a quarter ago, that number was like down 10% to 12%. Can you talk about what has changed? Is it just that the WFE market has improved somewhat? Or are there other KLA specific reasons that you will point out. But more importantly, how do you think that outperformance will do next year considering some of the areas that you are strong in this year may see some moderation? 
Richard Wallace: I'm sorry, for EPC or that was SPTS? 
Sidney Ho: Yes, that's for SPC. 
Richard Wallace: Okay. Got it. Look, we had some strength -- we continue to have strength, kind of the same things we talked about strength in optical. I think the process control intensity hasn't slowed across our customers, and we continue to see wafer being strong, we talked about macro being strong. So it's really across the portfolio of leading-edge. The thing that's falling off the most when it comes to capacity has been the product areas that are most linked to wafer starts and those would be things like overlay and films. But when it comes to the technology inspection, continued strength there. 
Bren Higgins: Yes. And I think the infrastructure parts of the business as well. We've seen that hold up fairly well, both in China, as we talked about in terms of doing mature, we're building capability to not only provide wafers, but also to do mature reticle sets for all the design activity that is happening. So you've got that. But then on the wafer side, you also have investments that are happening globally as those customers prepare for not only as capacity comes out fairly slowly in that industry, preparing for the resumption in demand that we're expecting here in the near future, but also different strategies around inventory stocking, more wafer-to-wafer bonding other demand for wafers.
 So that's also been a driver that we've seen hold together fairly well as we move through this year. Process control intensity is helping in, I've been pretty open with it over the course of the last year that despite some catch-up that might happen with some peers related to challenges in '22 with supply, we felt pretty good about our positioning and our exposure to some of the fastest-growing markets overall. The mix of business that's more logic/foundry-centric and this infrastructure exposure that I referred to. 
Operator: Our next question will come from Krish Sankar with TD Cowen. 
Sreekrishnan Sankarnarayanan: Rick or Bren, I'm curious, you mentioned like the demand profile stays in the first half of next year. But some of your peers have called calender '24 like a transition year. And how do I overlay the fact that memory could rebound in the back half of next year, how to think about these industry WFE or KLA revenue profile next year? 
Richard Wallace: So I'll take part of it and Bren can answer. We don't know what '24 is going to look like. We just don't know. And we know what our customers are saying right now. But they don't really know yet either. So we're talking about a sustained level of business kind of being similar to what it is right now until we have a reason to believe it's going to go up. Customers talk about things improving. We have meetings and they talk about asking us to get ready. But until we actually see it happening, we don't really know. So it's very hard to talk about the levels.
 What we do know is you have historically low levels of investment company right now in memory, and we see the same thing as you do in terms of pricing. And then we're well positioned for ramping when it does ramp. We also know we have some very good indications on some of our long-term products that are products that have long lead times. But as Bren said, like an optical inspection or capacity constrained, not demand constrained on those. So that's kind of how we're looking at it. We don't really have any unique visibility into '24 than those general trends and the fact that utilization seems to have stabilized and is increasing on some of our market segments, but not much visibility beyond that. 
Bren Higgins: Yes. Look, I made the comment about utilization rates, and I think that's encouraging in terms of the stabilizing environment that we're articulating here. that's certainly a factor. Well, of course, we watch our customers' business models, their profitability, their cash flows, that will, okay, you're seeing the industry digest the capacity that was added and then get sort of healthy again and see pricing and all those things improve. But then one of the catalysts that are going to drive growth into next year.
 In our near term, as we said in the prepared comments, we see roughly this level of business as we move through the first half of the year. One of the things that we really focus on is we've got to make sure that we're flexible enough to be able to respond. And so we've made a lot of investments over the last few years in our supply chain and our own capacity to make sure that we have the flexibility to respond because I would expect that we could get surprised. We usually do.
 And so we want to make sure that we're in a position that we're not -- we're not constrained in our ability to supply and meet that when it happens. So that's our focus. And I think the color we provided in terms of how to think about the company and how we're sizing the company in the near term is reflected in [indiscernible] 
Sreekrishnan Sankarnarayanan: Got it. Got it. And then a quick follow-up. As you said, the recent export control work has no material impact to your outlook? 
Bren Higgins: And so we're looking at that and working our way through it. It's quite complex. But preliminary estimates based on the -- I'll call it, the baseline that was established in October of last year. Right now, we don't see any real material change to our business expectations related to those new regulations. But we're working our way through it, it's complex. 
Operator: Next, we'll have Timothy Arcuri with UBS. 
Timothy Arcuri: Bren, everyone's asking about 2024 WFE, but I guess I'm still a little confused as to what the right baseline is for this year, because pretty much everyone has now guided for Q4. So if I take you, plus Applied, plus Lam, yes, it's down 13%. So that would mean that your $80 billion number might be in the ballpark off of that mid-90s last year. But if I include ASML, it's like flat. I mean even if you exclude the fast shipments, it's fairly down. So how is WFE down this year? I guess I'm just trying to get some understanding of like how you get to that $80 billion number. Is it excluding ASML somehow? 
Bren Higgins: Yes, Tim, we're not experts on this. What we do is we take a look at what -- we look at the universe of peer companies and how they report. If you look at what our customers say, we have some modeling that we do. And we come up with an estimate for that. So this year is a little hard because of fast shipments, and I don't even really understand all the nuances in that and that's for you guys to figure out. But also some of the issues that affected some of the other providers in late '22 in terms of their ability or inability to deliver in '22 and how that shows up in '23.
 But when we look at how we're performing overall, we think that it's in and around that low. Certainly, the fact that we're down given our belief about our market position. And if you look at Semi PC based on the guidance we provided being somewhere around down, we'll call it, 9%, 10%, somewhere in that ballpark. It doesn't feel flat to me. 
Timothy Arcuri: Okay. All right, Bren. And then I guess my second question is on inventory. It's now up to almost 300 days. It's up like $500 million over the past 6 months, but we're not really sure when WFE picks up inside of next year. I get that you still have this huge $10.8 billion worth of PO that you're kind of working off. But why is this stuff parked so far out in the future? Is it -- and if so, why hold the inventory now? What's the bottleneck? Is there something on your side still that's a bottleneck? Or is it more that the orders have been placed and maybe waiting for the fab, to be ready to take the equipment and that's why you're building up the inventory. I guess I'm just not sure why you would build the inventory if this stuff is still parked so far in the future. 
Bren Higgins: Yes, Tim, it's a great question. It's a little bit of the trade-off that we make, and I spent a lot of time talking about how we were able to outperform the industry for a couple of years in a row in terms of some of the supply chain challenges that others were facing that we weren't. Part of it has to do with how we manage our suppliers. We do have a lot of long lead time parts and so if you just go back to, we'll call it, 15-months ago, we thought 2023 was going to be a growth year on top of what we thought was going to be $100 billion year in 2022. So, we had made commitments. We were putting commitments out longer to get our suppliers to invest. We've invested in them in terms of partnering on their capacity expansions.
 We manage our -- so I place those commitments to suppliers, we've been able to manage what we can, but in a lot of cases, we honor our commitments. And we feel that in the long run, we're in a good position in terms of the longevity of our platforms and where we expect demand to come from that will consume those parts. So some of it is what you're optimizing for in terms of our differentiation in terms of how we work with our supply chain, and we're accepting that we're going to be pretty good customers. We're going to move up to our commitments and take the parts that we've committed to. So we feel pretty good in the long run about our positioning in terms of our ability to grow when we see a reacceleration from the industry.
 And the other issue is that our service business continues to grow, right? It grows every year, and that growth drives a fair amount of demand in service. It's a high complexity, high mix, low-volume business. And because of the customization of the parts, we tend to have to do end-of-life buys and have to buy a lot of parts to support that business. When you look at our margin profile overall for the company, feel like the trade-offs we're making are appropriate. And we think it's played a big role in our relative success. 
Operator: Our next question will come from Charles Shi with Needham. 
Yu Shi: This morning, I think one of your smaller peers in Europe, they talked about seeing some weakening of the mature in foundry/logic side of the WFE. I wonder if KLA is seeing something similar. I mean either through your process control business or the EPC business? If not, why is that? And I have a second question. 
Bren Higgins: Not really. Look, we're watching for certain parts of, I'll call non-China legacy exposure to automotive, industrial, some of those markets to see if that has an effect on customer demand. But right now, our expectations around legacy in the near term has been fairly consistent. 
Yu Shi: Got it. So Bren, maybe a question on OpEx. Both of your peers in the bay area, they are raising their OpEx for basically the next calendar year. How should we think about KLA's OpEx going into next year, say, you talked about you're expecting revenue to be run rating at the current level, should we be thinking OpEx is kind of flat until you see the uptick in the revenue. I mean before you really raise the OpEx. 
Bren Higgins: Run rating at the current level does give you a little bit of growth into next year. And as I said, we would expect to see growth in Service. I actually think EPC probably has some modest improvement off of pretty depressed levels. Our incremental operating margin model drives how we're running the business in terms of expectations for leverage on incremental revenue. So I would expect to see a modest uptick in OpEx. We're also balancing sort of near term in terms of how we're sizing for the current environment, but also our long-term investment, requirements.
 And given our market position and our desire to go to market with the portfolio that we think is a competitive advantage for KLA does drive some requirements for investment. And we'll do that independent of topline when appropriate. But as we're looking out going forward, I would say that we'll probably see OpEx tick up a little bit as we move through '24, but not a big change, more in line with general kind of cost to living type adjustments overall. 
Operator: Our next question will come from Joe Moore with Morgan Stanley. 
Joseph Moore: You talked about maybe a little bit of weakness at the cutting edge of foundry logic. Wondering if you could talk about that. And then I guess, just contextually, if we're in an environment where there's very aggressive investment in gate all around and backside power, but there are sort of limited wafer requirements in year 1 for those technologies. I would think that helps KLA in terms of percentage of WFE, but can you just walk us through how much of your -- how much money will they spend on the development of those processes versus the expansion of wafer, that capability there? 
Richard Wallace: Well, so we still -- we do get investment at the front end, but for more for development, but the ramp phase is really where you see -- that's where you see more of it. So you get it at the front when they're doing development and then this starts to ramp to get more. And we get less incrementally across the portfolio as you are in high volume. So yes, it would help us in terms of intensity around those new nodes, but often, those companies are also expanding the trailing nodes at a similar time, one or two generations. So on balance, doesn't look that different overall as most of these companies ramp up at if that makes sense.
 So you get it at the front end, but the rest of the -- so you look at process control intensity, it doesn't really change that much in foundry/logic year-to-year because they're investing across multiple parts. The biggest change has come from the mix of foundry/logic to memory. And memory is increasing some. So yes, there are more layers, there's more investment going on, but it's still balanced by they're going to ramp. We hope not just the R&D, but they're going to be ramping in terms of across the board. That's how we get to the model that we found for 2026, is based on process control intensity, inching up over time as processes just get more challenging. 
Bren Higgins: Yes. The roadmap schedules have held pretty well together. What we've seen is customers adjusting some of the capacity plans. So as you look at 2024, you're more likely to see, for example, more N3, you're going to see N2 activity and we'll start to see some of that soon. And -- but most -- the bulk of it will be more at N3. What you likely don't see is you probably won't see a lot of investment from our major customers and some of the more legacy parts of their businesses, where they pull back.
 But to Rick's point, we're seeing some of it. We'll see that investment as they ramp. We're seeing more investment today in production given the number of designs that are moving through the leading-edge nodes and the different process flows is creating opportunities for or -- and more challenges for our customers in terms of process control and defectivity challenges across different designs as they test design rules in different ways. So I think we have our normal historic exposure to R&D and to ramp. But over the last few years, we're seeing, particularly with the introduction of EUV and the progressing of scaling we're seeing more adoption in what we call the HVM or the high-volume manufacturing phases. 
Operator: Our next question will come from Blayne Curtis with Barclays. 
Blayne Curtis: I just wanted to follow back up on the comments you just made on foundry logic. So it was flat. It seems like China is probably up within that mix, and then you said leading-edge is weak. I'm just kind of curious how that changes for December. It seems like the outlook is fairly flat. So is that weakness in leading-edge kind of stabilize, and then kind of any perspective as to where leading-edge goes next year? 
Bren Higgins: So I feel like where we are today, I think your stabilization comment is the right one. I think we've derisked it and given that we tend to be more of a long lead-time provider. I think we've made a lot of the adjustments that we needed to make already in terms of how we're planning for this year. And as we move into next year, right, I think if you just sort of aggregate leading-edge activity, we'll see as customers start to provide a little bit more insight. But again, back to the stabilization comment, I don't see it declining from here. 
Blayne Curtis: I just want to ask on Service, in your letter, you talked about getting back to that 12% to 14%. I just want to know, is that assuming any utilization increases? Or is that just purely the tools coming off of their agreement? 
Bren Higgins: Yes, it's the latter. I think we're expecting utilization to slowly improve, but the bulk of it will come from new tools coming into contract. I think to expect to start to see overall industry improvement into '24, the first thing you'll see is utilization start to improve. So we would expect that and then once you see that, and then eventually, utilization gets to a place where customers need new capacity and then those decisions happen. 
Operator: Our next question will come from Mehdi Hosseini with SFG. 
Mehdi Hosseini: Yes. Just a quick follow-up. As you think about the R&D price, especially you highlighted gate all around at some point, we have to change the narrative to High-NA. And I want to just get an update, how do you see kind of opportunities as it relates to High-NA specifically on the patterning? And I have a follow-up. 
Richard Wallace: Well, I mean, what High-NA enables is the continuation of scaling, right? So that's been good news for KLA. You notice process control intensity in general, but more specifically for KLA has gone up as EUV has started to be adopted because now you're scaling -- we're not on what was traditionally Moore's Law, but we're seeing scaling. So High-NA means there's going to be more scaling happening, and that's going to be good and specifically good for KLA because it drives the highest performance requirements, which plays to our portfolio strength.
 So part of what our modeling is when we book -- we don't see a lot of High-NA happening in the timeline that we laid out for 2026 for our Investor Day, it's after that. But we'll see early stages of it before 2026, and that will drive -- continue to provide more opportunity for us to participate in higher process control intensity. 
Mehdi Hosseini: Are you implying that Gen 5 could be -- the use of Gen 5 could be extended to High-NA for patterning. 
Richard Wallace: For sure, absolutely. We're still using Gen 4. We're using Gen 4 now because of the extensions that we made in the platform, not just in terms of wavelength but adding more processing capability, the leveraging of AI, the use of both Gen 4 and Gen 5, actually Gen 4 will out-ship Gen 5 this year, and we'll continue to see that adoption.
 So it really is talking about the critical layers and we have more extensions in mind in the -- on the works that we're doing right now for Gen 5 that will extend it well into the even in the High-NA, then hyper-NA, which is going to come after that. So we feel very good about our optical product portfolio. 
Mehdi Hosseini: Okay. And then the second follow has to be on China, it seems like for KLA and the peer group, the China mix is getting closer to 50%. Could there be a scenario where opportunities for KLA would actually step up given the fact that many of these customers are new, and they have yield issue. And I understand China is mostly for [ trading-edge ], but with new entrants, new players, with the higher entrances and improving yield by these new players, have a higher mix of China for KLA relative to the peer group? 
Bren Higgins: Well, you have a lot of customers that are subscale, that are trying to develop process capability and demonstrate capability to customers, also invest for viability over time in terms of longer-term node progression. So in early stages, upscale stages like that, you're going to see a heavier investment in process control. Now as they continue to put roadmaps, it might stay there because they never really had a huge meaningful amount of capacity at each node.
 But you do see higher levels of adoption early on as you're trying to -- because if you think about it, you might buy a few process tools here and there, but you need the whole suite of process control. And so that's why we tend to see a little bit more activity there. But I think given the desire to progress along roadmaps into progress nodes, you're going to see, I think, a continued level of investment overall. But certainly, as you start to mature and if you're running a limited number of designs, process control intensity will higher in production than it used to be, is still lower than it is in what we'll call the ramp phase of a project. 
Operator: Our last question will come from Brian Chin with Stifel. 
Brian Chin: I'll just ask one question then get us out of here. But -- and you can correct me if I'm wrong here, but I've gotten a sense maybe that given how strong the infrastructure bear wafer and reticle inspection business into China was this year that it could subside a little in the calendar '24 relative to its strength again this past year. Is that sort of implicit in your outlook in the first half next year? And also, do you think that is proportional in any way to sort of the rate of China fab bill out activity that you can maybe observe for next year? 
Bren Higgins: Well, I don't think it's -- I think the overall wafer infrastructure investment will -- that's been faster than WFE growth this year will flatten out as we move into next year. So there's -- that starts to slow down. On China specifically, though, I don't see it changing much. I don't think it's going to grow much next year, but I don't see it falling off. And that's across for silicon wafer but also around reticle capability. 
Kevin Kessel: Thank you Brian and thank you Chelsea. I just wanted to thank everyone again for their time and turn the call back over to you for any final instructions. 
Operator: This does conclude the KLA Corporation's September Quarter 2023 Earnings Call and Webcast. Please disconnect your line at this time, and have a wonderful day.